Operator: Ladies and gentlemen, thank you for standing by. Welcome to Twist Bioscience Fiscal 2026 First Quarter Financial Results Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you would need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Angela Bitting, Senior Vice President of Corporate Affairs. Please go ahead.
Angela Bitting: Thank you, operator. Good morning, everyone. I would like to thank you for joining us for Twist Bioscience's conference call to review our fiscal 2026 first quarter financial results and business progress. We issued our financial results press release before the market, and it is available at our website at www.twistbioscience.com. With me on the call today are Dr. Emily Leproust, CEO and co-founder of Twist Bioscience Corporation, Adam Laponis, CFO of Twist Bioscience Corporation, and Dr. Patrick Finn, President and COO of Twist Bioscience Corporation. Today, we will discuss our business progress, financial and operational performance, as well as growth opportunities. We will then open the call for questions. We ask that you limit your questions to only one and then requeue as a courtesy to others on the call. This call is being recorded. The audio portion will be archived in the investor section of our website and will be available for two weeks. During today's presentation, we will make forward-looking statements within the meaning of the U.S. Federal securities laws. Forward-looking statements generally relate to future events or future or operating performance. Our expectations and beliefs regarding these matters may not materialize, and actual results in financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us as of the date hereof, and we disclaim any obligation to update any forward-looking statements except as required by law. We'll also discuss adjusted EBITDA, a financial measure that does not conform with generally accepted accounting principles. Information may be calculated differently than similar non-GAAP data presented by other companies. When reported, a reconciliation between GAAP and non-GAAP financial measures will be included in our earnings documents, which can be found on the Investors section of our website. With that, I will now turn the call over to our CEO and Co-Founder, Emily Leproust.
Emily Leproust: Thank you, Angela, and good morning, everyone. Q1 provided a strong start to fiscal 2026 and extended the pattern of consistent growth, marking our twelfth consecutive quarter of revenue growth. This performance builds directly on the operating momentum established in fiscal 2025 and reflects trends that remain intact as we move through the year. Notably, over the last three years, we have delivered a revenue CAGR of 24% and increased margin by 20 percentage points on relatively flat OpEx, materially outpacing growth across much of the life science tool industry. We believe the combination of sustained growth and meaningful operational progress clearly differentiates Twist Bioscience Corporation within our peer group. Going back to basics, at Twist Bioscience Corporation, our strategy is simple and very deliberate. We built a semiconductor-based DNA synthesis platform that gives us a technology advantage that translates into speed, scale, quality, and affordability for our customers. Everything we do builds on this differentiated and foundational platform. As we load more volume onto our chip, having more customers with more products improves our financial performance, strengthens our competitive position, and extends our addressable markets. This quarter's results reflect that our model is working as intended and we are building for the opportunities we see that leverage our advantage to accelerate growth. Over the last several years, we have transformed Twist Bioscience Corporation into what we describe as an NPI machine. We consistently launched new products that sit on top of the same manufacturing infrastructure, allowing us to expand into new applications and customer workflows without adding risk or complexity. As a result, our estimated serviceable market has expanded from approximately $2 billion in 2020 to roughly $7 billion today, driven by our current portfolio of products and services. Based on our market growth and customer adoption patterns, we continue to see a clear path to more than $12 billion of addressable markets by 2030, with additional growth opportunities as we launch new products. Importantly, this SAM expansion is occurring while serving some of the most sophisticated customers in life sciences across therapeutics, diagnostics, and applied markets. These customers choose Twist Bioscience Corporation because we future-proof their supply chains and innovation to enable them to move faster at scale with confidence. Javier will dive deeper into one of the opportunities in the DNA synthesis and protein solutions group to detail how we are playing to win in the AI-enabled discovery market as it forms and scales in real-time. For our energy applications group, we see a serviceable market of over $3 billion, with about 10% market share today. Looking at our serviceable markets within this group, we expect a blended CAGR for the industry of approximately 20% across oncology and rare disease diagnostics, microarray, biopharma R&D, and academic markets. Keep in mind, our revenue for NGS comes both through direct sales and also partners who sell our panel and reagents under their brand. Importantly, we expect our growth to outpace industry levels as we leverage our engine and commercial intensity to outperform our peers. We expect to drive growth in NGS applications by expanding volumes with existing density customers as their testing scales, particularly in oncology where recurring testing supports sustained demand. In addition, we expect to add new customers in the diagnostic space. Twist Bioscience Corporation will also pursue market share gains by converting legacy microarray workflows to sequencing-based solutions in agrigenomics and propagation genetics. In biopharma R&D and academic research, growth will be driven by increased adoption of Twist Bioscience Corporation's multiomics portfolio and by expanding product offerings to support new applications and workflows. The key to our ongoing success is that over the last decade, we have built deep, long-standing customer relationships that give us clear insight into unmet needs and emerging demand. We tailor customer insight with our proprietary platform to consistently deliver a strong product roadmap and a disciplined cadence of commercial launches. About a year ago, we recognized the early formation of a new category in AI-enabled therapeutics discovery, a market that was effectively nonexistent in 2024. At fiscal 2025, we had booked more than $25 million in orders, specifically tied to AI discovery. This exemplifies Twist Bioscience Corporation's ability to help define new categories by listening closely, adapting our roadmap ahead of market inflection points, and investing early to establish leadership. This was done with flat operating expenses through the fourth quarter of last year. Going forward, we see meaningful growth ahead as this category continues to develop. In the first quarter, we made targeted, deliberate investments to extend our advantages for all the opportunities we see across the business. Some of these investments are in the commercial team to amplify our success in the market. Others are in the infrastructure and operations to support the scale of the full portfolio. Importantly, we made these investments while remaining focused on our core financial priorities, including revenue growth, gross margin, and adjusted EBITDA breakeven. To be clear, we are committed to adjusted EBITDA breakeven in 2026. On top of this, we see an opportunity to increase our growth rate, and we have accelerated our operating expenses up by about $10 million per quarter without putting adjusted EBITDA breakeven at risk. As you know, investment in growth is like a turbo on an engine. There's a lag between pushing the gas pedal and the acceleration. On an ongoing basis, we expect approximately 75% to 80% of our incremental revenue growth across all product lines to drop to the gross margin line. We have worked hard to get to this point, and we'll continue to tune the machine. As a team, we are focused on three key performance metrics: revenue, gross margin, and adjusted EBITDA breakeven. We measure many other things within the company and the business, but ultimately, these three metrics drive our future growth. Our management team and every employee that we have are measured and incentivized on these three metrics. Overall, we are managing the business, keeping an eye on the gas, and the growth like ox. And we expect to become an even more formidable force in the coming years as we sustain growth through disciplined reinvestment of our profits. At this time, I'd like to turn the call over to Patrick Finn to further expand on our growth initiatives around AI-enabled discovery.
Patrick Finn: Thank you, Emily. At Twist Bioscience Corporation, we're constantly engaged with our customers and key opinion leaders. Going back to December 2024, within a relatively narrow time window, we were in dialogue with several customers bringing forward new ideas for the use of our platform technology. Expanding beyond DNA synthesis and deeply into protein expression and antibody characterization for thousands of sequences. As you may remember from biology class, DNA encodes the sequence for protein, which can then be expressed in a cell. The proteins expressed within the cell can then be purified and run through specific assays to determine the protein's characteristics, including stability, developability, and more. Historically, we made DNA, but we've expanded to also expressing proteins from the DNA, opening up a $700 million market to Twist Bioscience Corporation. Because our semiconductor-based platform writes DNA sequences at scale, AI presents a fabulous use case that incorporates our unparalleled throughput, speed, quality, and cost advantages. All customers are engaged in a design-build-test-run cycle. The customer designs the sequences, we build the proteins, and then we conduct a series of assays to test the proteins. Once we deliver the products or data, the customer learns from the information and optimizes the cycle for the next iteration. These customers fall into three different buckets. First, we are currently working with large pharma companies who are building robust large language models and preparing training sets. We receive thousands of sequences to synthesize, but ultimately, this customer type does not want the DNA strands. They want Twist Bioscience Corporation to conduct protein expression and characterize the protein, delivering only a data file with the results of the assays. These customers have a wet lab but cannot handle the volume of sequences they want to test and may not be new to Twist Bioscience Corporation, with this being an expansion of our work with them. A second customer group includes large tech companies focused on creating or expanding their presence in life sciences. They do not have a wet lab and operate as a so-called dry lab company. This means they rely on Twist Bioscience Corporation to conduct all research experiments, and we deliver the data to them for evaluation and next steps. These customers are new to Twist Bioscience Corporation. A third customer group is well-funded biotech companies that need thousands of sequences and data, essentially pursuing similar paths to large pharma. Across all customers, the work is custom according to their requirements, but the work streams and margin profiles are similar across customer types, and we have the capacity to serve all. When we launch a new product or service, and the work in AI-enabled discovery is a series of both, we complete the work using the best tools, spending no expense to ensure the customer receives what they need. Once we know the product resonates with customers, we optimize processes, automate, and proceed through a series of improvements to rapidly bring the margin profile in line with the rest of the business, where 75% to 80% of incremental revenue drops to the gross margin line. We've done this time and time again with a repeatable process. In fact, we continued to strive in the first quarter with 74% of incremental revenue dropping through to gross margin. What began as exploratory work in early 2025, leveraging our platform to AI-enabled discovery market, is now transitioning into repeat production-level workflows with customers intrinsically focused on generating high-quality data at scale. As models mature, the constraint is no longer algorithm development, but the speed, quality, and economics of experimental data generation. That shift is driving demand toward platforms that can reliably deliver large volumes of data quickly and cost-effectively, and Twist Bioscience Corporation fits that need very well. Our platform is uniquely suited to this customer need, allowing customers to move from design to data in days, not months. We see this as a durable and expanding opportunity that aligns directly with Twist Bioscience Corporation's core strength of customization at scale, with an immediately serviceable market of $1.5 billion for customers of antibodies discovery services and $700 million for protein expression. With that, I'll turn it over to Adam Laponis to discuss the financials for the quarter.
Adam Laponis: Thank you, Patrick. Revenue for the first quarter increased to $103.7 million, growth of 17% year over year and approximately 5% sequentially. Gross margin came in higher than expected at 52% for 2026, an increase of approximately four margin points over 2025, supported by increasing revenue and our continuous process improvement efforts. DNA synthesis and protein solutions revenue increased to $51.1 million, growth of 27% year over year, driven by strength from customers pursuing AI-enabled discovery, whether building models or testing molecules. NGS applications revenue for the first quarter grew to approximately $52.6 million. Excluding one large customer, NGS grew 18% year over year. For the quarter, revenue from our top 10 NGS applications customers accounted for approximately 36% of NGS revenue. Looking geographically, America's revenue increased to approximately $58.4 million for the first quarter, compared to $53.7 million for the same period of fiscal 2025, growth of 9% year over year. EMEA revenue rose to approximately $38.4 million in the first quarter, versus $28.3 million in the same period of fiscal 2025, growth of 36% year over year. APAC revenue increased to approximately $7 million in the first quarter compared to $6.7 million in the same period of fiscal 2025. Looking at revenue by industry, therapeutics revenue rose to approximately $37.2 million for 2026, compared to $26.8 million in the same period of fiscal 2025, an increase of 39%, reflecting the increased uptake of our products by large pharma and biotech customers in their efforts on therapeutics discovery, including AI-enabled discovery. Diagnostics revenue was approximately $35.3 million for the first quarter of 2026, substantially equivalent to $35.5 million in the same period of fiscal 2025. Excluding one customer, diagnostics was up 12% year on year. Adding to diagnostics, recall about 75% of our global supply partners' revenue is OEM partners selling Twist Bioscience Corporation products for NGS applications. Although we do not always know our OEM partners' end customers, we believe the vast majority of their revenue is focused on diagnostics. Industry and applied revenue were $6.1 million in 2026, compared to $5.5 million in the same period of fiscal 2025, an increase of 11%. Academic research and government revenue was approximately $12.2 million, relatively equivalent with $12.4 million in the same period of fiscal 2025. We saw fewer large-scale projects compared to the same period last year, but a large expansion in the number of customers purchasing from us based on our NPI and academic commercialization efforts. We see the academic market returning to growth in Q2 with increased confidence in NIH funding for 2026. Global supply partner revenue was $12.8 million in 2026 compared to $8.5 million in the same period of fiscal 2025, an increase of 50% driven by three factors: a significant new partner for NGS coming online, substantive growth in our diagnostics OEM partners, and growth for our distributors in APAC. Moving down the P&L, our gross margin for the first quarter increased to 52%, an improvement of approximately four margin points versus the same period of fiscal 2025, reflecting our strong revenue growth and customer base as well as continuous process improvements. Operating expenses, cost of revenues for the first quarter, were $86.9 million compared with $77.5 million in the same period of 2025. The increase in operating expenses was driven by investment in our commercial group to drive additional revenue growth as well as digital capabilities. Looking at our progress and our path to profitability, for 2026, adjusted EBITDA was a loss of approximately $13.4 million, an improvement of approximately $2.8 million versus 2025. This improvement demonstrates our ability to scale efficiently, even as we front-load strategic investments in commercial and digital capabilities. These investments are expected to remain stable or moderate slightly in the second half of the fiscal year. For 2026, net cash used in operating activities was $24.8 million. Capital expenditures in 2026 were $10 million. We ended the quarter with $197.9 million in cash, cash equivalents, and short-term investments. Turning to guidance, for fiscal 2026, we expect total revenue of $435 million to $440 million, growth of approximately 16% at the midpoint. We expect the revenue increase versus prior guidance to be generally balanced across DSPS and NGS. For 2026, we expect total revenue of $107 million to $108 million, growth of approximately 16% year over year at the midpoint. For NGS, we expect strong sequential growth in Q2 and growth in key accounts, with sequential growth throughout the year as previously discussed. We remain confident in our trajectory and continue to forecast reaching adjusted EBITDA breakeven for 2026. With that, I'll turn the call back to Emily.
Emily Leproust: Thank you, Adam. As we step back and look across the business, what stands out is how consistently the pieces are coming together. At Twist Bioscience Corporation, our growth is being driven by a repeatable model. We're expanding our addressable markets with disciplined product innovation, putting more volume onto the same silicon-based platform, and converting that scale into improving financial performance. This is not dependent on a single product, customer, or market. It is the result of an NPI engine that continues to deliver, paired with operational execution that scales efficiently. We continue to introduce newer products across both DNA synthesis and protein solution NGS applications with different adoption dynamics with the same underlying outcome. More customers, more applications, and more volume flowing through the manufacturing infrastructure. This is what allows us to support growth while maintaining margin discipline and capital efficiency. Importantly, we have built this platform with significant capacity already in place. We have both continued demand without introducing meaningful execution risk. As revenue scales, the economics of the model become increasingly favorable, reinforcing our confidence in the path ahead. This is why we remain very confident reiterating our expectation to reach adjusted EBITDA breakeven in 2026. The drivers of that outcome are already visible in the business today. Consistent revenue growth, gross margin above 50%, disciplined investment in operating expenses to accelerate growth, and a scalable cost structure. More broadly, Twist Bioscience Corporation is increasingly positioned as an enabling infrastructure provider across the biological continuum from early discovery through diagnostics and into therapeutic development. Whether it is enabling AI-driven drug discovery, supporting precision diagnostics, or scaling production for applied markets, customers choose Twist Bioscience Corporation because our platform allows them to move faster, reduce risk, and operate at scale. To help investors engage more deeply with our strategy, platform, and long-term opportunities, we plan to host an investor day in May. At that time, we will provide a deeper look at our customers with our products, our product roadmap, market expansion opportunities, and financial frameworks as we continue to scale the business beyond adjusted EBITDA breakeven. We expect to provide more event details in the coming weeks. In closing, Twist Bioscience Corporation enters the remainder of fiscal 2026 with a differentiated platform, expanding markets, consistent execution, and a clear line of sight to profitability. We are focused on doing what we have consistently done: launching products, serving customers exceptionally well, and scaling the business with discipline. With that, we're happy to take your questions. Operator?
Operator: Thank you. As a reminder to ask a question, please press star 11 on your telephone. To withdraw your question, please press star 11 again. We ask that you please limit to one question only. And if you have any additional questions, please return to the queue. Please stand by while we compile the Q&A roster. Our first question is going to come from Matthew Richard Larew with William Blair. Your line is open.
Matthew Richard Larew: Hi, good morning, and thanks for taking my questions. I want to follow up on the demand you referenced in terms of AI drug discovery. You know, Emily, talked about this being a durable opportunity, but we think about customers trying to build out a foundation model and building training models. Is that demand something you think that's measured in months or years? Or is this a reference just a new part of the drug discovery ecosystem will be the first part? The second part of that was you called out over 50,000 genes manufactured for data characterization in the quarter. Curious what that number was in the prior period and kind of how the economics of delivering data versus delivering DNA work for Twist Bioscience Corporation?
Emily Leproust: Thanks, Matt. Great question. Yeah. So we're very excited about what AI is doing for Twist Bioscience Corporation by, you know, pulling volume onto our chips and enabling us to ramp revenue and definitely, this quarter, 27% growth in DNA synthesis and protein is very much driven by AI. In terms of durability, so it's still early days but, what we are seeing is, a customer that had big orders, over the last year quarters are coming back, with other big orders. And so doesn't seem to be letting down. And, at the same time, we're adding more and more of the top 20 pharma to our platform as well as the magnificent seven as well as the start-ups that are very well funded, but where we don't have full penetration. So we see that there's a lot of growth coming. And then long term, what we think is that AI is going to become the first path. Right now, in the past, in vivo or in vitro was the question you had to ask yourself. I think AI would be the first path. It would be about probably the same cost of about $250,000 to discover an antibody. But the data will be delivered in two weeks instead of six weeks with in vivo and in vitro. And then in vivo and in vitro are still going to be important, but as a second path. As far as the 50,000 genes that we use internally for characterization, I want to call it quite a hockey stick, but it is backloaded into our Q4 and Q1. And it's the first quarter we felt we had to share the number because 271,000 genes in a quarter looks good, but actually, it's a small number compared to the actual number. Because we have more than 50,000 genes. So the trend looks good. In terms of cost, of price for the data, it kind of depends. But in general, it's $50 for a fragment, $100 for clonal genes, $200 plus for an antibody, can be $300 to $400 for the data depending on what kind of data customers want. So, definitely, as we upsell customers to data, we get a great benefit to the top line as well.
Operator: Thank you. And our next question will come from Subhalaxmi T. Nambi with Guggenheim. Your line is open.
Subhalaxmi T. Nambi: Hi, good morning. Thank you for taking my questions. You raised guidance by more than the fiscal 1Q 2026 beat. Could you speak to where the increased confidence specifically coming for both DNA synthesis and NGS? And as we move past the single customer that created the fiscal 4Q, fiscal 1Q air pocket, are there any other single customer dynamics that you're carefully monitoring in your outlook for the rest of this fiscal year? Thank you so much.
Emily Leproust: Yeah. Thanks, Subbu. But I think you're correct. We raised guidance by more than double the beat at the midpoint. This comes from all across the board confidence. The one customer dynamic that we mentioned in NGS applications, where it passed. That customer is back. The orders are in. So we think we are set up really well in NGS. Not just that one customer, but overall. When that customer, now that that customer is back, we think there's a great setup as we look at more and more data coming from bespoke MRD enabled by Twist Bioscience Corporation at super high resolution, high sensitivity bespoke MRD. We think there's lots of need ourselves there. And then in DNA synthesis and protein solution, we have a great platform with DNA. Head to head, we win pilots and with great growth, but now that we've added protein and data on top of it, it's really meeting the moment. And we see those big customers coming back for more. So overall, the strategy that we've had, which was to add great products that all feed onto the semiconductor platform, is working. And so we'll feed the NPI engine. We'll do it again. We'll deploy commercial balance. We have a lot of headcounts open for salespeople when our competitors are laying off people and laying out salespeople. It's just we have essentially meaning in the field. And we don't expect to have other one customer dynamics in the future.
Operator: Thank you. And our next question will come from Doug Schenkel with Wolfe Research. Your line is open.
Doug Schenkel: Good morning, and thank you for taking my questions. My first is a follow-up on the over 50,000 genes manufactured for data characterization. I just want to make sure that I'm thinking about it right when I think of that as being, you know, almost synonymous in pharma volume. So that's one. And then, kind of the follow-up there is I just want to make sure we understand what's in guidance for the balance of the year. So that's one topic. Sort of related to that, the second is the 271,000 genes shipped in the quarter was quite robust. That grew over 30% year over year. Can you just talk about what you're seeing competitively? And I'll leave it there. Thank you.
Emily Leproust: Harry, you want to take that one?
Patrick Finn: Yeah. Thanks for the question, Doug. Yeah. I mean, the growth you're seeing is primarily driven by, you know, the pharma segment and the interest in AI. You know, I think we're pretty clear on those numbers, and that the scale of the platform is resonating incredibly well with that customer base. I think I said in my words that when we're being approached, the typical experimental size is a few thousand genes, a few thousand antibodies, and a few thousand characterizations run in parallel, and that's where the power of a platform with, you know, scale and speed and quality and economics is very, very enabling. So that's a good start. We're starting to understand the reordering pattern of the customers. So just to echo Emily's comment, it's early, but we can see what's coming next. It's good. Then from a competitive standpoint, we, you know, we have a healthy paranoia and obsession with what's going on out in the market. We're starting to see the early benchmarking studies when customers in the segment are going to, you know, other vendors, and the data really shows how strong Twist Bioscience Corporation is compared to our competitors. We're weeks faster than the competition stands today. And just in general, on the competitive landscape, you know, we've got our eyes on our competition. We know where they are. We know what they're working on. We know where they're laying off. We know where they're resizing, restructuring. We know them at a very, very intimate level in the hand-to-hand combat of selling. But really for us, we are just relentlessly focused on our own game and we're looking to really scale and accelerate into this opportunity.
Operator: Thank you. And our next question will come from Catherine Schulte with Baird. Your line is open.
Catherine Schulte: Hi, guys. This is Josh on for Catherine. Thank you for taking my question. Yeah. I was wondering if you could walk through gross margin expectations for 2Q, how that should progress through the rest of the year? And then I was also wondering, should we still bake in sequential improvement for the rest of fiscal 2026? Thanks.
Emily Leproust: Thank you. Adam, do you want to take this one?
Adam Laponis: Thank you, Josh, for the question. We really see Q1 in the 52% performance as proof that our manufacturing engine is working as intended. Our decision to hold the full-year guidance at above 52% reflects a really deliberate choice in accelerating our top-line growth rather than maximizing short-term margin expansion. We do see continued improvements throughout the year coming, in terms of the gross margin. But what we're doing now is we're both hiring the operators, adding the additional automation to ensure we can handle the higher capacity and throughput things like AI drug discovery that Patrick talked about in the call. We've also introduced several new characterizations around the clip clip and other new technologies. When we launch these products, we do it with, you know, manual processes, often cold plating them to make sure we meet the customer's needs fast. We're now automating those over time, and this investment temporarily moderates the margin expansion. That's really the right trade-off for long-term revenue growth. Most importantly, the core engine of our business hasn't changed. We continue to see 75% to 80% incremental revenue drop through the gross margin line over time. So maintaining our above 52% on gross margins is about giving ourselves the flexibility to aggressively fund the growth we see right in front of us. And we always say it, but we'd much rather build a multibillion-dollar business at a 50 plus percent gross margin than a $500 million business at 60. So thank you for the question.
Operator: Thank you. And our next question is going to come from Vijay Kumar with Evercore. Your line is open.
Vijay Kumar: Hey, guys. Thanks for taking the question. This is Mackenzie on for Vijay. You talked a little bit about the strategic investments you made in the quarter, and I was just wondering if you could talk a little bit more about these investments. Why now and where specifically were the investments made? And the second question is you disclosed that the AI-driven orders were $25 million in fiscal 2025. How much of this came in the fourth quarter? And what did you see for orders in the first quarter?
Emily Leproust: Yeah. Thanks for the question. The $25 million of all the growth that we saw last year were backloaded. So some came in Q4, but some also came into Q1, meaning that the orders came in Q4, but they shipped in Q1. So definitely, some of the Q1 performance comes from that order growth that we've seen. And those customers are coming back. So there's definitely a high confidence that it's not a one-time thing. It's not a flash in the pan. It's coming back. In terms of the investment, we think of the investment in two ways. One, a more structural investment and the other are transient investments. So to give you a flavor, the structural investments are mostly in hiring of sales and commercial people. We've always had the strategy of hiring a little bit ahead knowing of what the business will need. It takes one or two quarters for a salesperson to ramp rapidly. And so we definitely want to do that, and we see a lot of good growth coming our way. So we want to make sure that we're able to capitalize on it and that we're not short on salespeople. So those are structural investments that are here to stay. And then there's some transient investments to help improve the business, mostly around our digital infrastructure. So to give you a flavor for what that is, just last week, actually, we launched our first e-commerce for NGS application business. In the past, we've always had a very, very strong e-commerce presence for the DNA synthesis and protein solution. And a very large fraction of our revenue for that product group comes from e-commerce. However, we did not have any e-commerce for NGS application. So literally 0% of our revenues. But we hired some contractors, and we made what we called a transient investment in our digital infrastructure, to launch a new channel for e-commerce, and we anticipate that that channel will be a catalyst and complementary to the salespeople we are hiring. And over time, we have the ability to taper off that investment in our digital infrastructure. Again, a contract of we decide when to turn them on and off. There's still more work to do on our e-commerce platform. So, it's not totally finished yet, but we're excited in the first phase of the launch. So, hopefully, that gives you a flavor for what we call the structural investment and the transient investment. But at the end of the day, Q4 adjusted EBITDA breakeven is a given for us now. So now it's all about growth. We have that very high confidence in growth, and how much growth can we exit in Q4. And hopefully, the guide reflects that confidence.
Operator: Thank you. And our next question will come from Brendan Smith with TD Cowen. Your line is open.
Brendan Smith: Great. Thanks for taking the questions. Maybe just another one on NGS from us. Emily, I think you referenced plans to sign additional partnerships within the diagnostic space moving forward. So I guess first from us, I mean, do you all have kind of a target number of deals you expect to confirm this year? And maybe more importantly, how material do you feel kind of new partnerships will be to the growth of NGS and maybe hitting your own internal revenue expectations over the, let's say, one to two years? Versus really just core execution and advancement of the existing partnerships you already have. Thanks.
Emily Leproust: Yeah. Thank you. That's a really important question and something that we spend a lot of time on. And actually, Patrick is our head of opening those doors for new partners. And so we think about it kind of in two ways. The first is, FY 2026 growth in NGS is going to come from existing partners. Those deals are already signed. The pilots are done. The validation and verification, it's done. And so now it's just being there for them as the volume ramps for our current investors, current partners. Make sure that our supply chain is there for them. However, when we look at the growth we're going to need in 2027 and 2028, we do need new partners for that. And we have a very sustained effort. And actually, you may remember that at JPMorgan, we split where Adam and I took investor calls, and Patrick and our CTO took the customer's call. And so we have a dual track where we're working actively to get new partners on board for diagnostics. We don't have all of the volume, but the performance that we have is very, very, very strong. The supply chain excellence that we bring, we're able to future-proof the supply chain of our partners. And so we are working on bringing more onboard. It's going well. But we don't need them for 2026, but we're counting on them for sustained growth in 2027 and beyond.
Operator: Thank you. And our next question comes from Mac Etok with Stephens. Your line is open.
Mac Etok: Hey, good morning. Apologies if you already answered this question. My connection's a little spotty. Just looking at the performance in 1Q and the continuation of 52% gross margin guide, how are you thinking about the cadence for the rest of the year just given the level of investments that you're making in the business?
Emily Leproust: Thank you. Adam, you want to cover that question?
Adam Laponis: No. Thank you, Mac. And we did have a chance to address that question. It really reflects our confidence in the business and our ability to drive growth and the choice to invest into that. And so while we do see continued improvement in growth margin throughout the year, it'll be at a more moderated clip. As we continue to invest into the CapEx and the infrastructure and the people to accelerate the growth. And, you know, we are maintaining, giving ourselves that flexibility. Really would rather, you know, I said it before, build the multibillion-dollar business at a 50% plus gross margin. And a $500 million business at a 60% gross margin. So, we are excited. We are looking forward to moving forward, and there's no looking back. And as Emily and Patrick have also mentioned, within line of sight, we are absolutely committed and focused on making sure that in any scenario, we're at adjusted EBITDA breakeven by Q4 of this year.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn the call back over to Emily for closing remarks.
Emily Leproust: Thank you for joining us today. Twist Bioscience Corporation's growth is built on a repeatable, scalable model. Our innovative technology, increased platform volume, operational rigor, and commercial prowess are translating to improving financial performance. This is not driven by one product, customer, or market, but by a durable NPI engine and execution that scales efficiently. We remain confident in our ability to drive sustained growth. Thank you.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.